Operator: Good afternoon, and welcome to Ollie's Bargain Outlet conference call to discuss financial results for the Fourth Quarter and Full Year Fiscal 2020. [Operator Instructions] Please be advised that reproduction of this call in whole or in part is not permitted without written authorization from Ollie's. As a reminder, this call is being recorded. On the call today from management are John Swygert, President and Chief Executive Officer; and Jay Stasz, Senior Vice President and Chief Financial Officer. I will turn the call over to Jean Fontana, Investor Relations, to get started. Please go ahead, ma'am.
Jean Fontana: Thank you. And good afternoon everyone. A press release covering the company's financial results was issued this afternoon and a copy of that press release can be found in the Investor Relations section of the company's website. I want to remind everyone that management's remarks on this call may contain forward-looking statements, including, but not limited to, predictions, expectations or estimates that actual results could differ materially from those mentioned on today's call. Any such items, including with respect to our future performance, should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. You should not place undue reliance on these forward-looking statements, which speak only as of today, and we undertake no obligation to update or revise them for any new information or future events. Factors that might affect future results may not be in our control and are discussed in our SEC filings. We encourage you to review these filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q as well as our earnings release issued earlier today, for a more detailed description of these factors. We will be referring to certain non-GAAP financial measures on today's call such as adjusted EBITDA, adjusted net income and adjusted net income per diluted share that we believe maybe important to investors to assess our operating performance. Reconciliations of the most closely comparable GAAP financial measures to these non-GAAP financial measures are included in our earnings release. With that, I will turn the call over to John. 
John Swygert: Thanks, Jean, and hello, everyone. Thanks for joining our call today. We delivered another record-breaking quarter to finish fiscal 2020, capping off the best full year results in our 38-year history. This year we surpassed $1.8 billion in top line sales and increase adjusted EBITDA by over 56% to $300 million. These results were achieved in a year of unprecedented challenges and demonstrates the strength of our business model and the extraordinary execution of our team. They truly went above and beyond leveraging many years of experience and long-standing relationships in the closeout industry to secure the very best deals for our customers. This response and know-how is our secret sauce. It drives our success and shows the flexibility of our business model and nimble operational capabilities. I would like to express my sincere thanks to the entire Ollie's family, who demonstrated their dedication and resiliency during these challenging times. Since the outset of the pandemic, our priorities have been consistent, ensure the health and safety of our team members and customers, support our communities, and provide our customers with a steady flow of extraordinary deals, and items they need. Great deal flow across all departments, productive new stores and strong comparable store sales drove a 22% increase in our top line in the fourth quarter. Comp store sales increased 8.8%. As you may recall, our comp trends are running in the low-single digits early in the quarter and we saw momentum build as we progressed through the holiday season and into January. We continued to benefit from spending trends that worked in our favor with a shift in demand for merchandise that appealed to a stay-at-home lifestyle. In January, we believe the second round of government stimulus also fueled some of the comp sales growth. Our top-line growth, combined with our gross margin expansion and expense control, drove adjusted net income growth of 31% in the quarter. We're very happy with, with the broad-based strength across our merchandise categories with over two thirds of our departments comping positive. Our top performing categories included bed and bath, housewares, flooring, food, health, and beauty aids, and seasonal. We executed the Ollie's formula, buy cheap and sell cheap. And we had the right products at a great value. Deal flow remains very strong and we are excited about what we are seeing in the marketplace with great deals presented to us every day. The merchant team continues to leverage longstanding vendor partnerships and establish new vendor relationships to capture incredible deals across all merchandise categories. Our ability to capitalize on these opportunities in the current retail landscape has never been better as we continue to leverage our increasing scale. We have a proven ability to handle large deals from our suppliers and an exceptionally strong liquidity position. We are pleased with our current inventory position ending the quarter with inventories up 5.5% compared to last year. Our continued sales velocity has us chasing the business a little, but as I mentioned, deal flow remains as strong as ever. As you heard me say before, our approach to maintaining dry powder and our open-to-buy gives us the flexibility to ramp up receipts and opportunistic purchases. We can also respond quickly to changing consumer demands. All this plays for our strengths, our aggressiveness and agility as an organization. The strong deal flow is always driving great new store performance. New stores once again, delivered sales above our expectations with our recent store classes across new states and new markets outperforming our model. We opened a total of 46 new stores in 2020, and I am very proud of the team's ability to execute these projects despite the added complexities of operating and opening during the pandemic. New stores remain the primary driver of our growth. And we – excuse me, see great opportunities to continue to expand our footprint in 2021 and beyond. We are targeting 50 store openings this year, including three to four relocations and are planning to introduce the Ollie's brand to three new states, Kansas, Missouri, and Vermont. So far this year we've opened seven stores, including one relocation and we’re very pleased with the early results. We have a tremendous runway for growth, with the potential to expand our store base to over 1050 locations nationwide. We feel good about the significant white space and the availability of high-quality sites. The value-driven consumers clearly is not going away and by most measures value is gaining in importance. With this in mind, we feel very confident in our runway for growth. Ollie’s Army continued to be a significant sales driver in the fourth quarter and membership keeps growing. We ended the period with over 11.6 million active members, a 13.6% increase over the prior year with growth in the membership levels, outpacing store growth. Army members shop our stores more often and drive a substantially larger basket. Ollie's Army sales comprised of over 75% of our total sales in both the quarter and the year, representing the highest sales penetration ever. Clearly, these are very important customers with whom we look to build long-lasting relationships through special benefits and of course, great deals. As we shared with you last quarter, we on the early stages of enhancing our marketing programs and redeploying dollars to optimize their effectiveness. Our focus is twofold, deepen engagement with existing customers and attract new customers. We are pleased with what we are seeing so far, and we will continue to refine our efforts, particularly regarding new digital initiatives in fiscal 2021. We are very excited about our results for the quarter and the continued momentum of the business. Comp stores sales growth is tracking in the high-single digits quarter-to-date. We are pleased with our current sales trends that we believe we are well positioned to deliver solid first quarter results. As a reminder, we anniversary the onset of last year’s COVID demand surge in mid-April and it’s from that point forward that we’ll be up against very challenging year-over-year comparisons. Like everyone, we look forward to putting the pandemic behind us, but we undoubtedly will be dealing with the opportunities and challenges in fiscal 2021 that like last year, will have varying degrees of impact on the economy, consumers and our business. No matter what comes, we’re going to keep doing what we do best. Buy and sell good stuff cheap, while maintaining discipline in how we operate the business. As Mark would say, we're hitting all of our marks, we are offering incredible deals, controlling expenses and opening successful new stores. Simply said, our team knows how to execute our strategy and deliver results in both good and bad economic periods and we believe we’re well positioned to benefit from the continued disruption in the marketplace. Looking ahead, our long-term growth algorithm remains intact and I am bullish as ever about our business. We delivered unbelievable results in the quarter and in the year, and I could not be prouder to be part of this team. I want to thank our almost 9,500 team members for their incredible dedication and contributions to the business, particularly during these challenging times. As we say, we are Ollie’s. I’ll now hand the call over to Jay to take you through our financial results.
Jay Stasz: Thanks, John. And good afternoon, everyone. I want to start by thanking the entire Ollie’s team for their tireless efforts and teamwork in a year unlike any other in our history. Despite the numerous challenges, you consistently stepped up to drive business and meet the customer’s needs. I appreciate all that you do. We are very pleased to have delivered a record quarter in fiscal year. For the quarter net sales increased 22.1% to $515.8 million. Great deal flow, productive new stores and strong comps drove this increase. Comparable store sales increased 8.8% in the quarter fueled by a significant increase in average basket, partially offset by fewer transactions. We ended the quarter with 388 stores in 25 States a 12.5% year-over-year increase in store count with a total of 46 new stores for the year. These stores are the engine of our growth and we are very pleased with their productivity and ROI as our new stores pay for themselves in less than two years. Gross profit increased 23.6% to $204.7 million and gross margin increased 50 basis points to 39.7%. The increase in margin was due to improvement in the merchandise margin and leveraging of supply chain costs. SG&A expenses, excluding insurance gains in both the current and prior year increased 20% to $114.4 million primarily due to additional selling expenses from our new stores, higher store payroll to support the increase in sales and increased incentive compensation. SG&A as a percentage of net sales, excluding the insurance gains decreased 40 basis points to 22.2%. The decrease was driven by leveraging occupancy and many other costs due to our strong sales performance and continued tight expense control. Adjusted operating income, which excludes the gain from the insurance settlements increased 31.7% to $84.5 million. Operating margin increased 120 basis points to 16.4%. Adjusted net income, which excludes tax benefits related to stock-based compensation and the after-tax insurance gain increased 31% to $63.8 million. Adjusted diluted earnings per share increased 31.1% to $0.97 per share. Adjusted EBITDA increased 32.9% to $92.1 million and adjusted EBITDA margin increased 150 basis points to 17.9% for the quarter. In 2020 net sales increased 28.4% to $1.809 billion and comparable store sales increased 15.6% for the year. Adjusted net income in 2020 increased 61.1% to $208 million and adjusted net income per diluted share increased 61.2% to $3.16. Adjusted EBITDA totaled $306.5 million and adjusted EBITDA margin was 16.9% for the year. Capital expenditures in 2020 totaled $30.5 million compared with $77 million in the prior year. Last year expenditures included approximately $43 million for the construction of the Texas DC. At the end of the period, we had no outstanding borrowings under our $100 million revolving credit facility and $447 million in cash. In 2020, we generated over $361 million in operating cash flows. Our proven track record of robust cash flow generation as a testament to the strength of our model, allowing us to fund our growth and continue to build our cash position. This year, we planned to strategically deploy our cash on hand to buy back shares of our stock in both a programmatic and opportunistic manner, putting our cash to good use and increasing shareholder value. As you saw in our press release, the Board recently authorized a $100 million increase in our share buyback program resulting in over $200 million approved for share repurchases. While we are optimistic about the momentum of our business, there remains uncertainty related to COVID-19 and its potential impacts on the economy, the consumer and our 2021 results. For these reasons, we will not be providing specific guidance at this time, but I will share some high-level thoughts on fiscal 2021. As John indicated, we’re off to a good start with comps tracking in the high-single digits. We continue to operate in an uncertain environment, including the timing and duration of stimulus spending, inflation and evolving consumer behavior as we emerge from the pandemic. As you know, we’re up against exceptionally strong numbers and strong comps in 2020 with the initial COVID related sales surge beginning in mid-April. The second quarter will certainly be our most difficult comparison, both from a sales and net income standpoint, given our incredible performance in 2020. The third and fourth quarter comparisons will be challenging as well as we continue to perform at unprecedented levels and saw top-line benefits from economic stimulus. Under normal circumstances we would not expect to comp these numbers. We are anticipating some headwinds in gross margin due to ongoing supply chain pressures impacting all retailers, such as increased important trucking costs. We expect a headwind of approximately 20 basis points to 30 basis points for the year, taking us from our typical target of 40% gross margin to 39.7% to 39.8% for the year. In addition to these increased costs, we are currently seeing increased port congestion, which could create delays in certain imported product categories. However, as always disruption of this nature may lead to opportunities down the road. Finally, SG&A, as you know we have and always will keep a tight rein on our expenses, however even with the continued prudent approach to expense management, we are facing very challenging comparisons given the leverage we achieved in 2020. We expect to return to more historical norms in our SG&A expense rate for 2021. Our current plans include the following, the opening of 50 stores including three to four relocations. We’re planning a split of approximately 50:50 in openings between the first and second halves of the year. We feel confident that we can achieve our target, but we will be dependent on local market conditions to stay on schedule. We expect capital expenditures of $40 million to $45 million, primarily for new stores, IT projects and store level initiatives. Depreciation and amortization expense in the range of $26 million to $27 million, excluding – including approximately $6 million that runs through cost of goods sold. And effective tax rate of 25.2% which excludes the tax benefits related to stock-based compensation and diluted weighted average shares outstanding of approximately 66.6 million before any impact from stock buybacks. While challenges remain in 2021, opportunities also exist. The strength of our model in both strong and weak economic cycles, our very strong financial position and our confidence in our ability to deliver on our long-term growth algorithm have us excited as ever for the future. I’ll now turn the call back to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Matthew Boss from JPMorgan. Your question please.
Matthew Boss: Great, thanks. John, maybe to kick off, could you just elaborate on customer behavior that you’re seeing quarter-to-date? Maybe any early takeaways from this round of stimulus versus the round a year ago? And when it’s all said and done, I mean, do you believe this pandemic will ultimately prove additives to Ollie’s brand awareness or market share? Just kind of trying to think about the model on the other side as we approach the end, hopefully of this pandemic?
John Swygert: Sure, Matt. I would say, from what we can see, obviously it’s very, very early on and what I would call the third stimulus package that just came out starting Friday, Saturday of this past week, but the behaviors are really resembling what we saw on the stimulus one and two, relative to the immediate response to our – at least our model, we’re seeing some, some pretty nice benefits from what people are doing. I do believe that we will see some continued benefits all the way through probably mid-part of April until we go up against the first stimulus that was introduced last year. So, we’ll have some headwinds at that point in time, but I think we have some pretty good runway from now until the [middle of] [ph] April. In terms of long-term I think that no different than we saw in 2008, 2009, I think people who try us, like us, and they like the discounts, they like the brand names and like the closeout that we offer and the value we present. So, I think that we will have some stickiness with those folks and that should be a benefit for us on a long-term basis.
Matthew Boss: Right. And then maybe just to follow up, what does the overall product availability picture look like right now in the marketplace for you today? I’m curious, how your – my guess is you’re probably chasing inventory now, but then as we think about going up against some of these tougher compares, just how are you planning inventory between near-term and back half of the year? And last, just on that point, as we think about your backend model from a merchandise margin opportunity on the buying front, does this provide you some level of insulation as we think about the freight headwind that I know you’re facing as well?
John Swygert: Yes. Matt, I would tell you we are having no problems whatsoever, securing product in great brands and great names at great prices. It’s actually been better than I would have expected at this point in time. And it’s very broad based, it’s not one category or two categories we’re seeing in every single category, which is a little earlier than I would’ve expected. Our merchants are appropriately bought up and they’re in great shape from an open-to-buy perspective. But we are not in any way, shape or form having problems getting inventory purchased from our manufacturers and our relationships. So, from that perspective, I’m very excited. And I think it’s only going to get better in the remainder part of the year. I think as some of the retailers and manufacturers lap some numbers from last year, they’re going to probably overproduce and we’re going to have more opportunity as well as we continue to go forward. I think you had one other question, Matt, that I might not have answered.
Matthew Boss: Yes, it was more just merchandise, with the plentiful availability out there, how best to think about the merchandise margin opportunity that historically you’re able to offset some of these headwinds that are more transitory, could that be an opportunity if things come in better?
John Swygert: Yes. I would tell you the answer on that is, we always are going to get back to the consumer where we can and try to maintain our 40-point gross margin. As Jay said, we’re probably shooting for a 37% to 38% today with what we’re seeing in the marketplace.
Jay Stasz: 39.7%.
John Swygert: Sorry, 39.7%, 39.8% from where we’re at today. If we can get more and there’s more availability on the price, we’ll take it. But more likely than not, if we can give back to the consumer maintain the 40 points that’s what we would shoot for.
Matthew Boss: Right. Best of luck guys.
John Swygert: Thanks Matt.
Jay Stasz: Thanks Matt.
Operator: Thank you. Our next question comes from the line of Peter Keith from Piper Sandler. Your question please.
Peter Keith: Hey, good afternoon. Thanks for taking the question. John, you had mentioned some digital initiatives for 2021. I was hoping you could tease that out a little bit more and maybe on that note, wondering if there's any consideration to your go-to market strategy with advertising, which has been heavily print dominant in the past. I need to ask about this a lot, but with consumer behavior shifting online, while you don't have a website, perhaps some of your advertising could also be shifting to be more digital?
John Swygert: Yes. Peter we're in the initial stages and we've talked about it a few times, we're definitely planning to move some of our dollars from print to what I call mass media or digital. We're working on that. We're working on that for 2021 as well and I think that's just another means to attract new consumer and speak to people in different fashions. But we're definitely working on that and the marketing team is very focused on doing, more card linked offers, working through Facebook, Instagram, we just hired Sasha as a firm out there to help us with Google and really looking at that. We're not going to go 100% digital ever, but the print will be augmented with our digital campaigns. So, we'll move some of that dollars around, but I think we're not going to become an e-com business, but we're looking to refine our website and looking to refine all the digital means that are out there and continue to augment what we have. So, I think we're well positioned to do that this year and going forward.
Jay Stasz: And Peter this is Jay, just to tack on a little bit to that. I mean, obviously the consumer has shifted a little bit and because we can't advertise, we really can't do our closeout business online, but given the strength in the numbers and the trends that we've seen, it's almost reinforced the fact that this – there is room for brick and mortar, especially when there's a value and there's a treasure hunt. And so that still resonates with the consumer. And we have got a lot of white space and a lot of growth ahead of us. So obviously that's our focus.
Peter Keith: Okay. That's sounds interesting. And maybe Jay to follow up with you on a financial question, you talked about the strong comps you saw back in the 2008, 2009 recession. I think 2009 you comped at 8% and then 2010 was a flat, to your stack of plus 8%, is that maybe some type of framework we could think about for this year or do you just see too many differences with what's going on now versus back then?
Jay Stasz: Yes, Peter, I mean we're not giving guidance. But yes, we've talked about that framework before and that's a reasonable way to look at it from a kind of a base plan and base case modeling right. We obviously had a heck of a last year, so we wouldn't expect the comp at negative 8% as a rational way to think about it. The other way, from a framework standpoint, how we think about it a little bit as if we look at 2019 our normal top line growth rate is call it 14% to 15%. So, if we have two years of that from 2019 grow top line 30%, and that might get you in the ballpark, but again, we're not giving guidance, but trying to just give a framework for a kind of a base model.
Peter Keith: Okay. All right. Thanks so much. And good luck.
John Swygert: Thanks, Peter.
Jay Stasz: Thanks, Peter.
Operator: Thank you. Our next question comes from the line Chandni Luthra from Goldman Sachs. Your question please.
Chandni Luthra: Hi, thank you for taking my question. Hope everybody's well. I want you to talk about the larger number of new signups that you guys have seen, very impressive stat. Perhaps you could give us some sense of how the new members within your Ollie's Army are looking versus traditional members. How are the demographics? What are they looking to buy and how has that buying shifts as you know, now that a lot of these members are six months into the program, perhaps? Thank you.
John Swygert: Sure. We don't necessarily have the demographic profile of the customers as they onboard. So, I'm not able to answer that question to you right now. But I can tell you, we have had nice signup and nice activity within the overall new membership for 2020. We're excited with what we're seeing there, their behaviors are not much different than the overall Ollie's Army membership that we've had. I can tell you the overall spend in the Army, they're averaging about $40 per basket versus non- Ollie's Army member of about $30, so they're spending about 37% more per average basket which is much larger than it used to be. So, we're getting a nice traction with the customer base that we're seeing in the stores. Definitely have seen some additional velocity from the folks that have signed up during Q2 of 2020 and what their purchasing habits were in Q4 compared to the prior year. So, we did see some nice increase in spend and additional new members that signed up and came in the store. So, I think we attracted some new individuals and saw them come back to our store multiple times. So, we're excited with what we're seeing there, and we hope to continue to see that trend as we go forward.
Chandni Luthra: Great. And if I could quickly follow that up with the high-single digit counts that you are seeing quarter-to-date. I know you don't have a lot of stores in Texas, but I just wanted to quickly check. Was there any negative impact that you saw from that region, generally from the cold snap that we saw in the Country in February or perhaps any aftermath of that resulted in increased demand in certain products. Thank you.
John Swygert: Yes. We definitely saw a direct impact to not only Texas; it impacted Louisiana and went up through Tennessee and to Kentucky. So, it was more widespread than just Texas. Texas got the brunt of it. And as you know, one of our distribution centers is right outside of Dallas and that was impacted in shutdown for an entire week. So, we definitely had some impacts on the business. But – and to your point, I believe all it was timing wise. I think we got that back and we'll get that back. But it definitely caused some headwinds in the first month. But I think that came back to us with additional purchases and people buying more stuff they need for the home, but as you know, that's not a big part of our overall comp base, but it definitely had an impact in February, I think we're getting that back.
Chandni Luthra: Great.
Operator: Thank you. Our next question comes from the line of Brad Thomas from KeyBanc Capital. Your question please.
Brad Thomas: Hey, good afternoon, John and Jay.
John Swygert: Hi, Brad.
Jay Stasz: Hi, Brad.
Brad Thomas: My first question is if you could give us – thanks. My first question was around trends in traffic and ticket. And if you'd just give us a little more color about how those trended in the quarter and how you're thinking about those for 2021?
Jay Stasz: Yes, Brad, this is Jay. In the quarter, the transactions were down low-single digits and then the average basket was up in double digits to get to the comp that we had of an 8.8%. So not inconsistent with what we've seen during this pandemic, fewer shopping trips but people are buying more when they're here. And the average basket was really driven by the units per transaction versus any change in the quarter, at least on AUR. And then looking forward, we are in the closeout business, so we don't really plan the business around those metrics. We don't know if a deal is going to drive traffic or drive the basket. But we know we're going to react. And like John said, our deal flow is strong and we expect to have good deals. I mean, obviously with the stimulus, we – most recently we've seen very strong trends tying to that. So, we'll see how that goes. It's going to be different. I think the stimulus flow this year versus last year, but we'll just do what we do best, which is react to the business and get what the customer wants.
Brad Thomas: Great. And Jay in your prepared remarks, you referenced the current port congestion and how it could lead to some opportunities, of course as we've seen in years past when you've gotten port issues. But just to be clear, are there any issues on the negative side that you all are seeing right now in the port issues?
John Swygert: Sure. Brad, this is John. With regards to the port issues, the only issues that we see is there's twofold, there's a lot of congestion coming out of Asia. And a lot of lack of containers. And then obviously the cost of moving containers is much higher than it was previously. But getting into the overall marketplace, Long Beach is definitely a challenge. But we definitely have some delays that we're working through, but we believe we're going to be in good shape and not have any real risks for the season, so that's the main take away from my perspective but we're definitely working diligently at that piece and we're moving our products as fast as we can. And that's just seasonal and talking to summer furniture, lawn, and garden and air conditioner is not all our products that challenge.
Brad Thomas: That's very helpful, John. One more for you John, just in terms of thinking about, how you're leading the buying team and some of the decisions right now, the company over many years, it's been a well-oiled machine where the merchants own the deal and control the markdowns, if the items are not selling, could you just talk a little bit about how you make sure that the team is operating as efficiently as possible as you go up against these difficult comparisons where you may not have inventory where items may end up sitting on the shelves a bit longer than usual? And how you just make sure you optimize the organization during this couple of quarters you're going to be up against?
John Swygert: Yes. Brad, I would tell you nothing has changed with our merchant team. Everybody has been trained according to how Mark would have wanted it to be done and that's still happening each and every day. There's no change in how our markets are – our merchants are managing the business. So there's nothing that we're implementing differently. They own the product from the time they write the purchase order till it goes out the door. With regards to how we've managed the business Brad, we – one of my big piece is where to maintain dry powder and maintain lower inventory levels in the stores and what we historically have done that's led to us having a lot, I’d say a lot easier operational activities in the stores, and we're not having and don't see any slowdown in the inventory in the stores. The challenges are actually less than what they used to be is we're a lot cleaner. We don't have the challenges of top stocking, goods being stuck on the shelves for an extended period of time. So we're actually in a very good position to where the merchants have a lot of open-to-buy, ready-to-go and the stores can take it. We're not pushing the stores that hard at all, we're clean ready to go.
Brad Thomas: Very helpful. Thanks so much.
John Swygert: Thanks Brad.
Operator: Thank you. Our next question comes from the line of Rick Nelson with Stephens. Your question, please.
Rick Nelson: Thanks. Good afternoon. Thanks for taking the question. So, the cash position for 447 million in cash, interested in priorities there, is there a minimum level you need to run the business and you got a buyback program in place. Is there any potential here for dividend for your shareholders?
Jay Stasz: Yes, Rick, this is Jay. And I'll speak to that. I mean, I think obviously the board just authorized the increase in the stock buyback program by another $100 million. So, we've got about $260 million out there, $60 million of that expires in the relative near term. So, depending on what happens there, we've really got $200 million that we're focused on. I think from a cash standpoint to run the business, we still do want to maintain some flexibility in liquidity. So maybe $200 million is kind of the amount on the balance sheet that we would target to keep. And then we would look to, as I said in the prepared remarks, we want to deploy the rest and we want to invest in ourselves and do a stock buyback program. We don't have the details around that or the amounts for the timing just yet, but it's something we're going to be talking about and focusing on, once we get past this call and get into an open trading window. But we would expect to use that excess cash in a stock buyback program and not for a dividend or a special dividend and be more consistent with that going forward, because we expect the business to continue to fund its internal growth, to fund our growth with internal cash and continue to generate cash beyond that.
Rick Nelson: Great. Thanks for that color Jay. John you spoke to the categories, have a strength in the quarter. Can you talk about some of the products that may have lagged the chain?
John Swygert: Sure. with regards to – obviously we have always had that occur, but our smaller departments during the quarter would have been the toy category, candy, luggage, so from my perspective, toys was understandable. We actually had a real nice comp in Q3. So, I think there was a pull forward of some of our toy sales during the year, people were shopping earlier. So, toys did just fine, but they were up double digit in Q3 and just didn't perform quite as well as we would have seen from last year. But overall, we were very pleased and came out of the toy season very, very clean. Candy was really related to the timing of deal flow. Candy deal flows were real strong during fourth quarter, but all be enough came January and the candy deals came right to us and we've been having a great candy season so far. So, we're very excited about it. And that was just timing of deal flow. And luggage people aren't traveling to buy luggage, so that wouldn’t totally make sense to us. Other than that, we had some real strong performance with all the state home categories, bed and bath, housewares, flooring, food and HBA, where we're really, really, really strong during the quarter and seasonal as well as we've seen it was off the charts for us.
Rick Nelson: If you look at closeout pipeline, what categories are showing the most promise for the most opportunities?
John Swygert: I would tell you right now most all of our categories are showing a lot of promise. I am seeing a lot of deal flow in the HBA front. A lot of deal flow in the housewares front, bed and bath is real strong. Sporting goods has been real good. Everything's – the only area I would tell you, – if you had to say worse or a shortage or a challenge it's one item, its pool chlorine. Pool chlorine is not easy to get and there's a chlorine shortage nationally that we're all going to have to deal with. Other than that, we don't feel any pressure on any other category in the entire business.
Rick Nelson: Interesting. Thanks, and good luck.
John Swygert: Thanks Rick.
Jay Stasz: Thanks Rick.
Operator: Thank you. Our next question comes from the line of Simeon Gutman from Morgan Stanley. Your question please.
Hannah Pittock: Hi, this is actually Hannah Pittock on for Simeon. Thanks for taking the question. You mentioned given the strong sales, you're chasing the business in some cases and I'm wondering, does that create a wider range of gross margin than you would usually see? Are you expecting any volatility there is that built into your 39.7% to 38% – 39.8% gross margin expectation. So, if there's any other risk factors that you can talk about that are embedded in that gross margin that would be helpful.
John Swygert: No, Morgan, I think the closeout business in its nature is called chasing the businesses, chasing the deals. That's what we do each and every day. That's not anything different from our merchants. They chase it all the time. What we have right now is a little more flexibility, a little more dry powder, where they can collapse on deals faster, but our model is to try to maintain a 40% gross margin and get back to the consumer build loyalty. So, we're not trying to use that as a margin driver. We're always trying to shoot for the 40% gross margin, there's a lot of cake mix to that, but that's what we try to do and I think we're poised to continue to deliver consistent margin as Jay had called out earlier.
Hannah Pittock: That's helpful. Thank you.
John Swygert: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Scot Ciccarelli from RBC Capital Markets. Your question please.
Scot Ciccarelli: Hey, good afternoon guys. Two questions, first follow-up on, I think, it might be some peers’ question. Jay, you suggested to your stacks may be a framework for people to kind of think about for 2021, but I think, when you start dealing with really large nominal numbers using stacks, it starts to distort the numbers a bit. So, could sales per store sales per square foot potentially be a better frame workforce for 2021?
Jay Stasz: Yes, I mean, it's fair. We've had that discussion Scott, after the last call a little bit. And to your point, right there is a certain level of when you look at stacks that the by store productivity maybe gets too low, especially when we're looking at certain quarters, like a Q2 where we're going up against the 43, 3 comp. I mean, that is still a huge comp to go against them. We're not going be able to match that That's why we kind of have gone to the 2019 basis, that's kind of the last actual known that we have that's true. And if we grow that, 30% you are going to get in the ballpark. We're not giving guidance, but that's kind of, we started to think of it for our base model kind of against 2019 and expanding that top line by 30%. And we've got the margin at the 39.7%, 38%. The SG&A, we would expect to be more normalized, which is call it 25%, maybe a little bit north of there. And then you drop that through and you get down to adjusted net income growth, which is really in line with our long-term algorithm on a two-year basis, which would be the 36%, 37%.
Scot Ciccarelli: Yes, that’s very helpful. And then thanks for all the deal flow commentary, but I guess one of the questions, I think, people are struggling with John is just, how is it you guys are seeing strong deal flow in categories, whether it's some of the home-related stuff you mentioned, sporting goods, et cetera. Most of us are hearing about product shortages in those categories. If you can just kind of connect those dots for people, I think, it'd be really helpful for the investor base.
John Swygert: Yes, Scott, I think, this is the number one area that even Mark and I have been challenged ever since we've gone public to get people to understand how we make a living. We've been doing this for 38 years. So, we have long-standing relationships with a lot of vendors. Well, over a thousand different vendors. There's always going to be close outs regardless of what people think and how they view the world, there's package change, there's obsolescence that happens, there's shelf pools. I mentioned this a few calls ago that close outs could create in many different ways, just as there may be shortages of the inline product, it doesn't mean there's not close out availability. Close out availability will exist all the time, good times and bad times. It's just the way it works. Stuff that may be short dated. Short dated for Target and Walmart might be 18 months. Short dated for us is probably 90 days. So, there's a big difference in terms of where that product can go from the CPG company. So, there's a gamut of reasons things become available, or people cancel orders. But I can tell you with a hundred percent confidence, our buyers are flushed with goods. They are not having a hard time finding product, and we're not having any type of misses. We're not changing category mix to make things work better for us. We're buying the categories that we have always bought and we'll continue what we're doing. We have not changed our business strategy one bit. 
Scot Ciccarelli: Okay. Really helpful. Thanks guys.
John Swygert: Thanks Scott.
Jay Stasz: Thanks Scott.
Operator: Thank you. Our next question comes from the line of Paul Lejuez from Citigroup. Your question, please.
Brandon Cheatham: Hey guys, this is Brandon Cheatham on for Paul. I'm sorry to like keep going back to the inventory side, but when we look at a per store basis, it seems pretty lean. Could you just talk about it? Is that what you wanted and with plenty of open-to-buy or is there more opportunity there to lean down inventory? And then just on the competition side for product, anything different in the put some takes there? Thanks.
Jay Stasz: Yes, I don't think the inventory, the word lean would be necessarily what I would be thinking where, we – our inventory turned three times this year. So, from a retail perspective, I'd say you probably think we're slow turner. We're lean from what we used to do, but I think we're right where we are. So, I think reducing the levels from where we were previously is, we're spot on where we'd like to be. And we need to continue to maintain where we're sitting today and on a long-term basis, I think, that this makes for a great shopping experience for the consumer and it makes the model work very efficiently. So, I would tell you where we're very satisfied where we are at on average inventory per square foot basis in the stores. And three turn for us is great. We moved up from a 2.2 to a three. So, I think that's probably about as fast as Ollie's can turn, but we're excited about it. So, what was your other question? I forgot that.
John Swygert: Competition.
Brandon Cheatham: Competition.
Jay Stasz: Yes, comp we're not seeing a huge change in competition, close outs are different animal. We don't see a lot of people who are able to buy nearly much as we can buy. Most people don't like to deal with close outs. A lot of the bigger retailers it's not easy. They are not set up to deal with it. So, we're probably one of the first choices you're going to see from a closeout perspective in the marketplace. So, we're not having a lot of competition given the goods we get.
Brandon Cheatham: Got it. Thanks. Good luck.
John Swygert: Thank you.
Operator: Thank you. Our next question comes from the line of Edward Kelly from Wells Fargo. Your question, please.
Edward Kelly: Hey guys. I wanted to ask you just a question about product mix. How mix is looking like currently close out versus sort of direct source product? Has that changed at all over the past year? And then as you sort of think about like where trends are going, is there opportunity in direct source? Just curious as to how you are sort of thinking about like that traditional sort of 70% mix and how that has been floated if at all?
John Swygert: Yes Ed, I would tell you this year we were basically flat with our normal close out mix to the total, we're close to 70. The only caveat to that is we did buy a ton of PPE that would – some of them might have been closed up but multi was not closed out. So that would have impacted our overall closeout mixed somewhere down close to 66% of our overall purchases, PPE that we purchased. But we believe we'll be back to the 70% here in 2021. And that is something that's not a problem for us. I don't foresee us buying as nearly as much PP this year as we did last year, but the overall mix of 70% close outs, I believe, is a good number for us, and then 18% on the everyday value goods and 12% on the imports is about where we think we'll be.
Edward Kelly: Okay. And then as you think about this second quarter lap, just kind of curious as to whether there's any more color you can provide in terms of how you are thinking about it. I'm just curious, I mean, it was so unusual. The time period and I was curious also, right, like how product the availability was at that time? Is this lap harder or easier than it looks just any thoughts there would be helpful?
John Swygert: On Q2 Ed?
Edward Kelly: Yes.
John Swygert: Yes, Q2 is a mountain. Q2, no matter how you want to slice it, a 43.3% comp for anybody is, I think, that was – I think that was the largest comp number of any retailer that reported. And I would tell you that we worked very hard to do that. And by keeping in mind, I think, at that time most all retail that were nonessential were closed. So that was a very different time than we're in today. All retail are back open now. So, everyone is competing for the dollar. So, there's definitely a very large disparity this year versus last year in terms of where Q2 is going to be for those of us that were open during the pandemic and for those of us that generate a 43% comp, that's going to be – that number is a big number to even dream of bound comping. So, we definitely don't expect to comp that number, but we're setting up to do the best we can and do the largest sales and profit to our shareholders, and we'll continue to do that. But we don't expect to be positive.
Edward Kelly: Understood. Thank you.
John Swygert: Thanks Ed.
Operator: Thank you. Our next question comes from the line of Jason Haas from Bank of America. Your question, please.
JasonHaas: Hi, thanks for taking my question. So, I saw you recently did a buyer professional and workwear clothing. So, I'm curious to know how that performs and if you could potentially do more in the apparel category?
John Swygert: Yes Jason, as we would always tell you we do buys every day. And the workwear category is a buy we do each and every year. The one that you're talking about was a special buyout from a bankruptcy that occurred. So, we do it each and every year, just like the wedding dresses. So, it's a bankruptcy buyout. We do a ton of this. This is just our model. So, we're working on another deal right now that's related to that same organization. That'll come in here probably the next month into our stores. That's more of on the professional work where not necessarily the rugged work, so you'll see that come in our store. And that's just how we make a living. With regards to changing our overall strategy to more clothing, absolutely not. That is of low interest to us. We're going to buy clothes outs to put them in the stores. And the workwear is in our sweet spot. That's what we do. That's how we make the living. Wedding dresses were not how we make a living. And that was something that we had to figure out how to work through the rugged wear is great. And when we got it, it was a great deal for us to have. So, we expect to see additional clothing deals as we did last year, the C9 deal that we saw in Q2. And we see clothing deals all the time that come across our desk. But we see deals coming in every single category, and we'll continue to see those. And I don't expect any monumental change likely. We're not getting into fashion. We don't like fashion risk, and that's not what we do. We're really more of a hardline retailer. I think clothing makes up 2% or 3% of our overall sales, and that's not going to change.
JasonHaas: Thank you. Our next question comes from the line of Jeremy Hamblin from Craig-Hallum. Your question, please.
Jeremy Hamblin: Yes, thanks. And great quarter.
John Swygert: Thanks Jeremy.
Jeremy Hamblin: I wanted to just ask and see if we can get even a little bit more granularity. And actually, I wanted to ask more about Q1 than Q2. I know you don't normally disclose cadence around the month within a quarter, but – because of we had the end of March, I think, was really, really tough. And I think we – you've given a little more color on that. I did want to see those last two weeks or the second half of April, I did want to get a sense for if you could quantify the magnitude of the comps that you saw in those weeks. I just think from a modeling perspective, that would go a long way in hoping especially with you guys are off to a pretty strong start here in Q1.
John Swygert: Yes Jeremy, I can't give too much color. But I can give you directionally where we saw last year. Obviously when the economy closed down, I think, it was March 11 of last year. We saw significant decreases in our model for about a four-week period, almost a five-week period, but closer to like four and a half weeks, which took us to the last two weeks of our fiscal calendar of April. And as the stimulus came in about April 15, April 13 and we were a rocketship from that point forward all the way through Q2. So, there's some big numbers on the back half of the last two weeks of April. We've got probably another three – three plus weeks of pretty good sailing, I think, here with the way the timing of the stimulus came in, stimulus number three, versus the economy being shut down last year.
Jeremy Hamblin: Okay. We'll…
John Swygert: I don’t know if that helps you, but that's kind of directionally what we...
Jeremy Hamblin: No, it gives us a sense. Okay.
John Swygert: Yes.
Jeremy Hamblin: So, the second question I wanted to ask was Ollie's Army week versus a single night in Q4. And, just wanted to see if you could provide some additional color on how you felt that performed. Obviously, I think, this wasn't unusual holiday season where a lot of buying was pulled forward. But you clearly saw, pretty good performance obviously in January, but maybe December turned out better than November was. So, I wanted to see if you could provide some color on that week. And then as we think forward to Q4 this year, is that something where maybe it's going to be Ollie's Army week going forward instead of a single night.
Jay Stasz: Right. Jeremy, this is Jay. Yes, we were pleased with our holiday season. Like you said, we didn't participate in a lot of the early sales that were happening in November. It seems like people really started Black Friday early. But our November – at the time we announced low single digits and December was stronger than that. Our holiday period, for those two months together was in the mid-single digits. So, we were pleased with that. And then to your point, January was very strong with the stimulus that came in that month. And as far as Ollie's Army week versus Ollie's Army night, the week, itself was probably flattish a little bit down to the year ago period. And part of that was because in the prior year, we aim to actually ran a 25% of Toys promotion for the public, not only the army, but anybody that came in the store. So, from a top-line standpoint, we are actually a little bit negative on the week from a margin standpoint, because we were less promotional. It was beneficial. So, that is the week. Next year or this year, I guess, looking forward to Ollie's Army night, our leaning is that we would go back to the one night. We kind of like the excitement and the buzz that it generates for the customer to come in. And it's just kind of a tradition and a longstanding event that creates a lot of excitement, both for our stores and our shoppers, most importantly. So, we're leaning towards the one night going back to that.
John Swygert: Yes, Jeremy, the only caveat to that is if there's still issues with COVID and restrictions on number of people in the store and whatnot, then we'd have to adjust accordingly. But we'll see where we're at what time to make that decision.
Jeremy Hamblin: Let's hope not. Thanks for taking the questions.
John Swygert: Hope not, yes.
Jeremy Hamblin: Great job and good luck.
John Swygert: Thanks. 
Jay Stasz: Thanks. 
Operator: Thank you. Our next question comes from the line of Anthony Chukumba from Loop Capital Markets. Your question, please.
Anthony Chukumba: Thanks for taking my question and congrats on a strong finish to a strong year. I guess my question in terms of the new store openings just any sense for how much – just roughly what percentage of those are going to be in existing markets versus new markets? Thank you.
John Swygert: Yes, Anthony, we're going to open up in three new states this year, as I said earlier, Kansas, Missouri and Vermont. In terms of backfilling and existing versus new markets, I would tell you, we're probably going to do 30% or 40% in existing markets and the rest comes in the newer markets. I wouldn't say new markets, but we're still infants in the state of Texas, we're still infants in Oklahoma. We're still, back-filling some of the newer states. But overall, if you – literally speaking, if you want to look at Kansas, Vermont and Missouri, that's probably only a handful of stores. So, most of that would come in existing states that we're in. But we view Texas as new and Oklahoma as new. But we're predominantly focused on the new markets. But we're still back filling in existing markets as well.
Anthony Chukumba: Got it. And then just a related follow-up I guess, how is your, I mean, obviously given this COVID-19 dystopia, I mean, how have you sort of changed your new store openings? I'm assuming you just can't sort of advertise the way that you did and get big crowds in the stores. And so how has that changed if at all?
John Swygert: Yes, definitely a good question, Anthony. Last year, once COVID hit, we never ran any grand opening campaigns in the stores during the heavy period of the pandemic. So, we basically just did regular flyers and opened the stores very quietly. We never called them grand openings, because we couldn't afford to have that many people in the stores at one time. But what we did see, which was interesting is we still got the traction in the stores it may not happen in that one day, but it still happened pretty quickly where the store has still performed very, very well. And I think we learned a little bit about how we can open stores and we don't have to spend as much in advertising as it may have done historically.
Anthony Chukumba: Got it. Thank you.
John Swygert: Thank you, Anthony.
Operator: Thank you. Our next question comes from the line of Brian McNamara from Berenberg Capital. Your question, please.
Brian McNamara: Thank you for taking my question. I know you don't typically comment on inter-quarter trends, but you did mention a low-single-digit start to the quarter three months ago, and a stimulus impact on January benefiting the quarter in your prepared remarks. Can you give us an idea how meaningful that stimulus impact was relative to December's trend? Clearly it was an improving trend throughout the quarter. Thanks.
John Swygert: Yes, I don't think the stimulus had anything to do with December whatsoever. The stimulus checks didn't come out too after the 1 of January. So, the December results were on their own. They stood on their own.
Brian McNamara: That's what I meant. In in terms of the – how meaningful stimulus was in January relative to December?
John Swygert: Sorry, can you say it again?
Jay Stasz: Relative to quarter…
Brian McNamara: What I am trying to get is – so presumably the quarterly trend, it improved as a quarter went on, I'm just trying to kind of tease out how impactful the stimulus was to January's trend relative to December.
John Swygert: Yes, it was pretty significant. Relatively speaking, as we reported the 8.8% comp for the quarter, January was definitely in the double digits from your perspective. So, we definitely saw a big acceleration of the holiday period itself being November and December. We were close to a 5% comp.
Brian McNamara: Got it. Thank you. And then secondly, given the massive Q2, comp you guys are going to have to cycle in the strong H2, that you will be cycling, is it – would it surprise you have 12 months from now, we're talking about maybe a minus low-single-digit comp that you just reported. Can you talk about kind of how you are preparing internally, both from a cost standpoint and just an overall business perspective standpoint as you're obviously – are you going to be lapping an unprecedented year this year? Thanks.
John Swygert: Yes, for sure. And like we said, on the call, we would have never in normal environment kind of a base case, we would never expect to lap these numbers. So again, we're kind of from a base framework, we're going back to the 2019 actuals and growing the topline, two years’ worth of growth. So, call it 30%. So that gives you a topline. You can kind of back into probably the split between comp and non-comp. We've got the margin of 39.7%, 39.8%, SG&A levels of more normalized call it 25%, little bit north of there. So that's the model and that results in a base model of adjusted net income of close to 36%, 37%, which is right in line with our long-term algorithm. And of course, we're going work hard to do better than to do the best we can, not turn off the registers like Mark would say. And we've been pretty successful at that. But again, these, yes, trying to comp a year like last year is just not something that Ollie's is built for.
Brian McNamara: Great, thank you. Best of luck.
Jay Stasz: Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to John Swygert for any further remarks.
John Swygert: Thank you, operator. Thanks everyone for your participation and continued support. We look forward to sharing our first quarter results with you on the next earnings call. Stay safe. 
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.